Alfredo Sáenz Abad: (Interpreted) Okay. Good morning. Let’s begin with the 2011 Results. As we always do, I’ll be reviewing the main highlights of the year and the group’s results, and then our CFO, José Antonio Álvarez, will give you a more detailed review of the different business area. And finally, I will conclude with some final remarks. 2011 was a year characterized by an unfavorable global economic context, which has worsened in the last half of the year. As a result, there has been an increasing downturn in the global economy in the fourth quarter, which, according to the latest forecasts, will have a negative impact on growth in 2012. In this environment, the Santander Group has adopted a conservative strategy. We’ve prioritized our balance sheet strength, supported by our ability to generate both ordinary and extraordinary revenues. The main developments in 2011; first, solid generation of recurring profit. Profit before provisions was of over EUR24 billion and before extraordinary was at EUR7 billion. Second, the group has made a significant effort in extraordinary provisions, with EUR3.18 billion net of taxes, which is double the capital gains obtained in the year. Thirdly, we have significantly bolstered our balance sheet, and we’ve done it by combining a strong improvement in the coverage of foreclosed properties in Spain, which is now up to 50%, with a significant reinforcement of our capital ratios. We have now achieved the EBA requirement in record time and improved our core capital ratio according to BIS II criteria up to 10%. Fourth, we’ve continued to offer our shareholders a return higher than the average of our European peers. I will now review each of these points in more detail. The first aspect I mentioned about 2011 is the generation of recurring profit. For the first time, we’ve obtained over EUR24 billion in net operating income or pre-provision profit. And we’ve done this by continuously growing our income, which is, we feel, significant different with respect to the sector in the last years. The figure is particularly relevant for three reasons; first, because it puts us amongst the best banks in the world in income generation. Very few banks have been able to post around EUR25 billion a year in profit before provisions. Second, because it enables us to maintain an excellent track record during the downturn. In the last four years, we’ve obtained profit or pre-provision profit of EUR90 billion. And thirdly, because it makes our income statement extraordinarily robust and gives us an extreme ability to absorb provisions, even in the most demanding environment. After provisions, taxes and minority interest, recurring attributable profit in the year was EUR7.02 billion, 14% less than in 2010. And as for the trends, both year-on-year and in the quarterly comparison, we see the impact of the big fall in trading gains mostly in global banking and markets hard-hit by weak markets with very low volume. Provisions were also higher in 2011. The group has allocated almost all the profits of the fourth quarter to voluntary provisions for an amount of EUR1.7 billion. And these provisions have had two purposes; a fund of EUR1.8 billion to increase coverage for our real estate exposure in Spain and the amortization of EUR600 million of Portugal’s goodwill. In summary, if we look at recurring profit like capital gains, we’ve obtained a total of EUR8.5 billion, of which EUR3.18 billion have gone to provisions, leaving an attributable profit of EUR5.35 billion. These profits do not include the capital gains from the agreement to sell our bank in Colombia, as the operation had not been completed at the end of 2011, and these will recorded in 2012. As we’ve seen, the greater effort in provisions was mostly allocated to increase coverage for real estate risk in Spain, particularly for foreclosed properties. Coverage is now at 50%, anticipating possible legal requirements. Two points to be made here. First, with this increase, we are, once again, ahead of the banking sector as we were in 2009, when we raised our coverage for foreclosed properties up to 31%, way above our peers and ahead of the requirements subsequently established by the Bank of Spain. Secondly, and in addition to real estate, in the quarter, we’ve also improved coverage for doubtful and substandard loans, as we will see later on. Increasing coverage and provisions has been followed by an improvement in our capital ratios. I should mention the speed, because in just two months, we’ve met the 9% core capital requirement established by the EBA. This sin plus four on the one hand, through organic capital generation, and on the other, due to the group’s strengths and high financial flexibility, which have enable us to adopt different measures to raise our capital ratio from 7.53% in September 2011 to 9% today. The effort made on our capital ratios in the last quarter have enabled us to meet EBA requirement, but also to speed up the rise in core capital ratios, according to the BIS criteria. We’ve ended the year at over 10%, versus 8.8% in 2010. As a result, the group solvency has been improving for five years running. In short, we have very solid cash-flow ratios appropriate for our business model, our balance sheet structure and our risk profile. For our liquidity, we’ve also maintained an excellent position. Our liquidity drivers are well known: great retail capacity through our almost 15,000 branches, wide and diversified access to wholesale markets through our subsidiary model, and also, the deleveraging in some markets, which is also bringing in additional liquidity. And we see this in the numbers. We closed 2011 with a structural liquidity surplus of over EUR120 billion. The loan-to-deposit ratio is at 117%. I’ll remind you that it was 150% at the beginning of the crisis. We’ve issued EUR40 billion versus EUR32 billion in maturities and we’ve also placed securitizations for a total of EUR25 billion, mostly in the UK. Recourse through short-term wholesale funding was very small. And finally, we still have a total discounting capacity with central banks of around EUR100 billion. Therefore, we begin 2012 with excellent position. We have no significant maturity concentrations in the coming years. Annual maturities are lower than the issues made in 2010 and 2011. We also do not need to cover all maturities, because of the different strategies planned in Spain and Portugal. We aim to narrow our commercial GAP by almost EUR15 billion. And this, together with less recourse to the parent bank by Santander’s consumer finance, means we don’t need to make any additional issues to maintain our liquidity position. Santander Consumer UK and Sovereign enjoy better access to wholesale funding because of their market conditions. In emerging markets, where overall, we have strong liquidity positions. Even a surplus like in Poland, we will combine growth in lending and deposits. So, in summary, a solid starting position, limited maturities and favorable business dynamics will be the drivers that will enable the group and its subsidiaries to retain a comfortable liquidity position. The group has closed the year with its NPL ratio at 3.89%. It’s only risen three basis points in the last quarter. This increase is basically due to the trends in Spain and Portugal, which have continued with the trends we had reported in earlier presentations. On the other hand, Sovereign has improved for the eighth consecutive quarter, Santander Consumer Finance for the sixth quarter running, and Latin America, except for Brazil, has also been improving in every quarter of 2011. And as you see on the screen, those trends enable us to compare ourselves favorably in local criteria with the average of the financial sectors of the main countries in which we operate, Spain, the UK, Brazil and the other Latin American countries. The final point that I mentioned in my initial slide was total shareholder returns. The strategy followed by the bank in the last year, the results obtained, the high solvency and the remuneration policy are bringing about a total shareholder return which has clearly exceeded our sector’s – our European peers’ average. And we’ve achieved this not just in the final quarter of the year, but also medium and long term, as you see in this slide. Moving on to the group results, on the slide, you can see our income statement on the accounting basis and then another column subtracting the perimeter effect and the exchange rate effect, which for the whole year, were almost zero. We can draw two basic conclusions from that. One, the strength of the upper half of our income statement with pre-provision profit at EUR24.37 billion, which is 2.2% higher than in 2010. This growth was based on solid, consistent revenues, with net interest income and fee income performing well, in spite of a very low growth in lending and very low interest rates in the mature markets and a strong upward pressure on funding costs. The positive evolution of the upper half of our income statement does not feed through to profit, due to three factors: higher provisions and write-downs in 2011, in part due to the PPI charge in the second quarter in the UK; a higher tax rate for the group overall, from 24% in 2010 to 27% in 2011; and lastly, net, I mentioned already, between capital gains and extraordinary provisions of a minus EUR1.67 billion. Revenues have grown by – or gross income has grown 32% in the last three years. And if we look on the basic revenue, that is net interest income, fee income and results from our insurance activity, growth was up 38%. Looking at 2011, basic revenues are still very solid in spite of sluggish volumes, with an interannual growth of 6%. That is over EUR2.3 billion in absolute terms. I should mention strong growth in Latin America for the seventh quarter running with a year-on-year growth of 12% in local currency. For us, the growth in volumes since mid-2010 and very gradual feeding-through to revenues is behind this trend. Progress at Santander Consumer Finance, both from organic growth and also, of course, from the entry of SEB in Germany and AIG in Poland, positive impact of the nine-month impact on our accounts of Poland’s Bank Zachodni or WBK. All of these comfortably offset foreign revenues in mature countries with special impact from the cost of funding in the UK and the corporate center. As for costs, costs reflect our usual cost of doing business, as well as the investment in our retail network and technology, as well as the various integrations into the group. As a result, the number of branches has increased by 1,400 and our head count by almost 22,000 employees in three years. If we look just at 2011, the trend was the result of very different policies in different markets and businesses. Over 70% of the increase came from emerging countries, where we continue to invest, to which we must add some pressure with the signing of collective bargaining agreements as they increase in the fourth quarter in Brazil, and also inflation in some countries such as Argentina. In other emerging markets, we’ve also had the perimeter effect of the BZ WBK engine. The rest of the increase was in countries and units where we are improving our franchises, to which we should add the incorporation of Santander Retail in Germany. Finally, in our retail units in Spain and Portugal, we are reducing costs – nominal rates of between 1% and 3%. Provisions. Provisions have continued with the trend observed in previous quarters. In the year, specific provisions fell by almost EUR1.2 billion, which was offset by a lower release of generic provisions, EUR569 million in 2011 versus over EUR2 billion in the previous two years. Net of both effects, there is a small rise in total provisions, which are still at high levels due to the downturn in some units. By geography, we’ve had increases in Spain and Portugal, which are very connected to the economic environment and in some Latin American countries because of credit growth or lending growth. On the other hand, we’ve had declines at Santander Consumer Finance, Sovereign and the UK. And how does this compare with our peers and their trends? In revenues, we have a clearly superior position, with stronger growth and larger impact from our balance sheet. As for our cost-income ratio, we are managing to be best in class, improving our cost-income ratio by 15 points versus our peers’ average. As for the cost of lending, the lower use in generic provisions means that our income statement doesn’t yet reflect the drop in specific provisions. So, we’re not taking advantage of the year-on-year comparison of results – on the results of the declining provisions as some of our competitors are already doing. But as our provisions normalize, our improvement will be faster and greater than that of our competitors. I will now give the floor to our CFO, José Antonio Álvarez, who will present the results of the various business units.
José Antonio Álvarez: (Interpreted) Thank you. I will now review in more detail the different units and businesses. As usual, I’ll remind you that on the website, we’ve posted much more detailed information, starting with the breakdown of our profit by geographies. My first point is to say our Latin American units now contribute 51% of our total profit starting on the right, Brazil in our latest income statement. Attributable profit dropped 7%. That’s basically at the lower end of the statement due to tax rates on minority interest, since actually, pre-provision profit grew at 11% or more, and we will see it when we look at Brazil, that there are solid trends in volumes and revenues. As for the rest of the Latin American countries, attributable profit grew by 11%, also bolstered by improvement in commercial revenues. It’s more about volumes and the favorable impact of a lower minority interest in Mexico. These are the main drivers in our statement, as we will see. Also, trading gains were weaker than in previous quarters in a more difficult market context. And finally, Continental Europe. Profit was down 15%, impacted by Spain and Portugal, but with very diverse trends. On the one hand, growth in Santander Consumer Finance in Poland was very positive, but weakness in Spain and Portugal. And now looking at the different units in Continental Europe, what our income statement reflects is the difficult environment in which we’re doing business. We have lower volumes because of deleveraging in these economies and low interest rates, especially in Spain and Portugal. We have a negative impact – strongly negative impact on trading gains. We were at running rates of EUR200 million per quarter of trading gains. And in the last three quarters, that’s gone down to almost zero, and so that has a significant impact. If we look at the annual comparison, basic revenues grew 8%. Here, there’s a premature effect because of the BZ WBK integration, which represents 4% of these basic revenues. Without that, revenues would have risen 4%. Cost also reflects that increased perimeter and the investment in global businesses. As our CEO has pointed out, retail business in Spain and Portugal has costs falling at about 2%. Provisions have risen a little. Even subtracting the perimeter effect against the positive impact of the fall in specific provisions was more than offset by the lower release of generic provisions. So, the net result was a profit in Continental Europe, EUR2.85 billion. That’s 15% down from 2010. By units, the differences that I’ve just mentioned and which I will now review in turn. The Santander branch network reflects deleveraging of the business in Spain. There are three elements there. On one hand, a liquidity element and, of course, there, deleveraging has a positive impact in the last three years. Because of less lending and growth in deposits, our need for funding has gone down by EUR24 billion, a positive impact on liquidity. The fall in risk-weighted assets is also positive for our income statement. But as far as profit, only asset spreads, which have significantly improved in the last years, are having positive impact on our pre-provision profit in the context of strong deleveraging. Revenues have remained strong because of the fall in lending other than by the growth in deposit, although they have grown in the year, in a very competitive context, 1.36%. Currently, provisions remain very high, although specific provisions are at around EUR400 million, EUR450 million per quarter, below the EUR600 million we had on average in 2010. So, in summary, the underlying performance was good in a difficult environment. Revenues in the coming quarters will be sustained. Costs will be flat or going down slightly, and provisions are still high, considering the others – the cycle. Banesto has already posted its results, so I won’t go into too much detail, but same underlying trends. Deleveraging, the same effect I mentioned for the Santander retail network also affecting Banesto, deleveraging of EUR78 billion in the last three years with a corresponding impact on income and capital consumption and profit, also affected by negative trading gains in the last quarter, a lower release of generic provisions and mainly, an increased voluntary provisions to increase coverage on foreclosed properties, as they explained in detail in their own results presentation. If we look at, as we usually do, our lending portfolio in Spain, it’s still falling in 2011. Our loan portfolio declined by 5% with EUR225 billion. Why this fall? Basically, because of real estate lending, which is falling at 14% and loans to other individuals, which basically is consumer lending, which is falling at rates of over 10%. On the other hand, loans to businesses, which represent just under 50% of our portfolio, has remained stable. NPLs, as far as NPL ratio, still rising significantly in the real estate sector. And here, of course, there’s both an effect on the denominator and numerator. The NPL ratios will continue to grow in the last quarter, if only because there’s still going to be a sharp fall in the balance sheet. NPLs in Spain, therefore, have risen from 4.2% to 5.5%, basically because of the property sector. In the other segments, there’s been very slight increases. But it’s only a few tenths of a percent in the year. So, all in all, 5.5% NPL ratio, which is much better than the sector’s average in Spain. If we look at our real estate exposure, our loans with a real estate purpose, they amount to EUR23 billion, as we saw earlier, down 14%, of which doubtful EUR6.7 billion in coverage for these doubtful is up 33% after rising four points in the year. The substandard loans are EUR3.9 billion and coverage there is 16%. As usual, I’d like to remind you that 100% of substandard loans are up-to-date in their repayments. We’ve increased coverages, based on what we expect is the reasonable value of that portfolio. The other side of our real estate exposure is foreclosed assets. And we’ve had very active management balances and coverage. For volumes, although there has been a rise in the year, the fourth quarter was the first quarter in which the balance did not grow. We expect maybe not quarterly trend, but in the year, in 2012, we expect balances to fall significantly for the first time. We think that there will be a change in trend. As our CEO pointed out, we’ve made a significant effort with voluntary provision, bringing coverage up to 50% for foreclosed properties, allocating for that purpose most of the 1.8 billion voluntary provisions at the end of the year. As you will see and while we await the new regulations, we have not yet allocated the fund to any particular line. But in the appendix or in the annex of this presentation, you have the allocation we have without including this additional fund we’ve established voluntarily. As for Portugal, I don’t need to tell you that the environment is very difficult, with strong deleveraging. We have balances falling by 10%, good growth in deposits, foreign lending. As a result, our liquidity position is stable. Annual maturities in Portugal between EUR1 billion and EUR2 billion annual. Deleveraging last year, in 2011, was EUR3.5 billion. Therefore, we are able to absorb the maturities of wholesale funding with the natural deleveraging of our balance sheet. Our commercial GAP is falling. And as a result, an impact on our profit, mostly because of the high cost – of deposits and funding. And it’s true that spreads on lending are growing, but the cost of deposits and funding is what is having the biggest impact on our revenues and our net profit. In spite of falling costs, we also have higher provisions with NPLs at 4% and that has an impact, a significant impact on our results, naturally. Our net profit after provisions has fallen by 56% year-on-year. Now, let’s continue to look at Portugal and let’s see what’s happened with the results of the Troika inspection program. Specifically looking at provisions, we’re looking at specific needs in here. You can see the specific results of this program. And you see that Santander Totta, the balance sheet has no deficit in provisions. And there is a slight improvement, 10 bps, in capital ratio. So, we think that it’s solid. We think that it’s the most solid. And we see that NPL performance is much better than peers, better coverage and better capital ratio. So, let’s look at Santander Consumer Finance now. We see that evolution is very, very different. It’s much more positive. We see a growth to the tune in excess of 55.0%. Why? Well, because the cycle is at a different point. It’s at a more advanced position. And because the business is diversified. We’re growing in Germany, in Scandinavia and in the UK. The spreads, well, they are good for business. Costs are moderate, constant. I remind you that we’ve seen that as fee has grown, and then also, we’ve seen a lower need for loan-loss provisions, minus 19%, although the coverage is attained. We see that profits have grown across the board, especially Poland and the U.S. where we’ve almost times two our benefits, our profits and double-digit growth, both in Germany and in the Nordic countries. So, the sum total explains this profit in excess of 52%. In other words, over EUR1.228 billion. As of December 31, we’ve seen our activities in the U.S. We’ve consolidated by the equity accounted method. This has no impact on results as of December 31, but it did impact the balance sheet and NPL and coverage ratio. So they say, this date is December 31. Okay, we’re off to Poland now. The macroeconomic setting definitely was okay, with GDP growth of 4%. And the forecasts for this year are relatively sound. We’ve integrated the bank, and we have seen some operational improvements taking place. Very good performance in terms of volume. Very good performance also for our results. And here’s the pro forma on the slide. You can see that graphically rendered. Balances are doing fine also. We’re talking about 14% lending and deposits and this is translated into practically 10%, practically double digit, and this all the way and growth because of lesser needs in an economy which is performing, frankly, in a healthy way. So, I think it’s fair to say that basically, our bank in Poland, BZ WBK, is making good our promises. And we committed back in September 2010 and I think that we are in fact making good on that promise, as I said before. Let’s go to United Kingdom, please. The United Kingdom has definitely been affected by sluggish activity, as its – sluggish activity, regulatory impact, low rates and the PPI in the UK. So, we were hard-hit, because of all of these reasons that I’ve just explained. We see a 9% fall in our income, flat volumes, basically. I’m referring here to mortgages, and deposits have also shrunk slightly, although it is true that we’ve looked at streamlining the more expensive deposits. But as to SMEs, as you know, we are very interested in growing our market share in the SME market. And we’re growing in excess of 25% and growing. We’re squeezing the spreads and we have to talk about regulatory issues, liquidity requirements, regulatory costs, which explains the high spreads and this, of course, is what hits us in our bottom line. Interest rates also were low. So, this explains why in deposits, we’re not generating much either. As to costs, well, they’re nicely under control. They’re growing only by 1%. We see our provisions, a major fall of 36%. We’re outperforming the peers in NPL ratios and underperforming loans also. And as we’ve seen what happened to our pre-provisions profit, it’s now 8% after that second half. So, in short, we see that it’s a competitive market, and things do not seem about to change. So, we have some uncertainty over time. Brazil now. Brazil is a different world. Brazil benefits from very healthy macro environment. We’ve achieved a profit of $3.629 billion. Lending growing at 20% rate, especially individuals, but in all segments and funds our growth to the tune of 12%. Less intensely, perhaps, but at a nice risk pace. And in terms of results, these volumes are growing, and we see that those basic increases have grown. It’s consistent. We’re talking about 14%. And the major increase in the fourth quarter was basically due to volume and spreads, cost increase, also, to the tune of 12.5%. There’s inflation. There’s the collective agreement. And also, there’s growth in our sales network. We’ve grown by about 6% or so in 2011. And this, of course, impacts the numbers, which explains why the net margin rose – the pre-provisions profit rose by 11%, thus absorbing the larger provisions. This is due to the volumes, but it’s also due to a moderate growth in our NPL ratio. If we see that, if we look at things locally, it’s a little bit less than the rest of the sector. And in our case, we’re growing more in individuals, basically, consumer credit and cards which, as we know, usually have higher NPL ratio. Growth in the upper part of our income statement did not trickle down to the bottom line because of higher provisions, which had to do with litigation. We know that, that calls for higher provisions and a negative impact because of the tax rates and minority interest. I think it’s fair to say that the bank continues to gain momentum. There is traction there. We achieved the end of the integration a little bit longer than we expected. And we’ve seen, as I say, how we’re doing, I think, very nicely. For the first time in I don’t know how many quarters, we’re growing. And we’re growing as the sector is growing, if not outright outperforming the sector. So I think that this explains that it’s fair to say that we can be optimistic regarding Brazil. I think we promised a double-digit growth, and we are making good on that promise again. The rest of Latin America now without Brazil, ex-Brazil, very similar results to what we saw in previous quarters. We see that 15% deposits, and that’s retail banking, profit growing by 11%, stable margins. And we see how this actually evolved. It’s true that capital gains, especially in wholesale banking activities, have been slightly weaker and this explains that we have this retail bank, which is growing more quickly than the results would show, and wholesale banks that, because of those results, have slightly worse trends than retail banking does. We see then the net interest income rising; fee income, plus 9%; especially insurance, 28%; cash management, 10%; cards, 12%, so we’re delivering there. We also see an improvement in the cost of credit. And there’s a positive impact, I remind you, because of lower minorities in Mexico. So, this is the other side of the Brazil coin, if you will. Breakdown by country, I’ll be going into details of Mexico and Chile in a few minutes. But Argentina is growing at double-digit rate, net operating income by 16%. We see that for generic. Colombia also is growing at a double-digit rate. Puerto Rico declined, although profit before taxes are up 38%. And Uruguay’s attributable profit was lower than in 2010, because of trading gains and the launching of the new IT platform. But let’s go to Mexico, healthy growth, 31%, in loans and deposits. We see that mortgages are in there, which we bought from GE. Ex this, we’d be growing by 22%, so we can talk about healthy results. There is an improvement in certain major, major parts of our activities, mortgages, I repeat, SMEs and cards. And basic revenues have grown quarter by quarter in accordance with our volumes and also, in accordance with income coming from our fees. There was a worse performance here because of returns on financing and higher costs. This has to do with the GE issue and it has to do also with the generation itself. So, costs were 4.6. And we need to add the GE integration. And there’s a drop in provision. We have (audio gap) quarters been talking about credit card. And at this point, we see that, well, those provisions have plummeted. We see an increase to the tune of 12% of net operating income after provisions and profit before minority interests grow by 22% in comparison with 2010. So, to summarize, healthy performance. There is a major strengthening of the franchise. We grow our share, and it’s only the weakness of the ROF that has slowed us down, but only slightly. Let’s go to Chile now. In terms of activities, very healthy dynamics in deposit, specifically. In terms of our loans, it depends on the segment. We’ve given priority to spreads over volume. There are segments in Chile where spreads guarantee lesser returns. So, we’ve been a little bit selective there. And this explains this 7% growth in a country which is doing very well. The quarter has been standardized. If you remember last time around, I said that these profits were not typical, because of revenues, because of differences. Well, those profits now are back to recurrent level. We’re talking here about $440 million, $450 million. And the year has closed with revenues that did not grow spectacularly. We’re talking about a 3% increase. Costs are basically flat in the fourth quarter, but they’ve grown by 10% in the entire year. So, we’ve seen that the commercial structure is different and also, collective bargaining agreement and increase in leases. So, I would say that these provisions have normalized in the fourth quarter after the hike in the third quarter. So, profits were normalized in this quarter, although as in Mexico, not perhaps as intensely. But the environment continues to be that of reduced trading days. Now, off to Sovereign. I think Sovereign has made a good delivery in its management achievement. Good growth in revenues and profits and healthy credit quality. In loans and deposit, we’ve gone from negative in 2009. We’ve seen, as you see, minus 12%. That was back in 2009-2010. This year, we’re growing at 5% loans and 13% deposit. So, we can talk about turning things upside down regarding market presence. So, if we look at results, we see that income increased by 9%. The interest income did very nicely. Management of spreads was good. And fee income have been a little bit weaker, affected by regulatory changes. And there have been some capital gains generated by ALCO portfolio. Costs. We’ve increased these costs by 10% because of IT investments, we are going to have to continue to invest. So, current expenses and amortizations and so on, this will begin in 2010. NPLs are very doing very nicely, indeed. And this results in a sharp drop in provisions. But we continue to see ongoing improvements in coverages quarter after quarter. So, we see this net operating income after provisions being 34% higher and profits, 30% higher. So, Sovereign results are in line with our announcement when 75 – the 75 remaining part of the bank was acquired. So, I think it’s fair to say that we have delivered. If we now go to look at our corporate activities, without those EUR1.67 billion capital gains and extraordinary provisions, if we leave that to the side. We see less losses, so EUR128 million less than in 2010. We could look at three factors. First, we’ve seen that there are two elements here. Net interest income is more negative than in 2010. Interest rates were more in 2011 than in 2010. So were the credit spreads. And this explains why our wholesale funding cost was more than we expected. And there’s also a buffer, which has an impact on corporate activities, although to a lesser degree. There’s less – a lower recovery of taxes, and we’ve seen that 80% of the ROF is exchange rate. So, in 2010, we’ve seen coverage in exchange rate ensuing that appreciation of different currencies. This explains more than EUR500 million improvement. And this explains these results. Now, I’ll give the floor to our CEO, who is going to be elucidating on the results and our outlook.
Alfredo Sáenz Abad: Very good. Well, my summary of 2011 is that 2011 was a good year for the bank, for Santander. The bank overcame the challenges of a very complex environment and performed very well in three key aspects in the current setting. First, in its capacity to generate profits. In 2011, our pre-provision profits were more than EUR24 billion. And this places us at the head of our peers. It is a buffer, a cushion, which allows us to contemplate provisions, distribute dividends and bolster our capital. And we can be optimistic in the face of future activities. Secondly, the quality of the balance sheet. Ordinary profit and capital gains have allowed us to make a major effort in provisions and we’re able to close the year with a coverage ratio 50% in foreclosed real estate in Spain. We’re doing very nicely in view of future regulatory requirements. And finally, we’ve done very well in terms of capital. In barely two months, the group’s flexibility enabled us to attain that 9% core Tier 1 as demanded by the EBA, the deadline being June this year; and this without affecting the growth capacity of retail banking. So, our profits, balance sheet and capital constitute a solid starting point for 2012. We know that this is going to be a very demanding year for us. I think it’s fair to say that we will maintain a clearly different feed at the management plan by areas, or to adapt better to the specific conditions of each market we have a presence in. So, in Spain and Portugal, we will have to manage an environment that will be very weak. We will see deleveraging, less demand for loans and this will call for our focusing on spreads and perhaps more specifically, on deposits. We will also have to be very demanding in terms of provisions. And this is as befits our economic environment. In the rest of developed markets, we will strengthen the key areas for future business growth. The focus on the UK, companies, without forgetting the linkage potential we have with individuals. In the U.S., we will take advantage of the business gap, which is opened by Sovereign becoming a National Bank Association and our new IT platform. This will allow us to expand the range of products and our customer profiles. In consumer credit, after a very good year for SCF, Santander Consumer Finance, we aim to consolidate our penetration levels and results and maintain the profitability differentials vis-à-vis our peers, and this strategy followed in our agreements with producers guaranteeing further growth. And finally, in emerging markets, we will continue to take advantage of the healthy economies in order to maintain healthy growth rates in Latin America by entwining revenue growth with investments in order to continue to grow. In Poland, we will be looking at integration and developing global businesses as we continue to grow our profits as promised. So, to summarize, in 2012, Santander has diversified, has a strong balance sheet and has generated recurring profits to such a degree that we will continue to perform well in a very demanding fiscal year-end scenario. Thank you very much.
Unidentified Company Representative: Good day. As always, we will be taking the questions; first from the Web, and if we have time, we will be also taking incoming phone calls. We have broken down by subject, by areas, strategy and regulation. There are questions regarding...
Operator: Good morning, ladies and gentlemen. The Q&A session starts now. (Operator Instructions) Thank you.
Interpreter:
Question: : And the second part of the question is, do we believe that 55.0% of assets is sufficient? And how much more will be called for in the case of substandard loans?”
Unidentified Company Representative:
Answer: : We have wanted, as Santander, we have wanted to take a step forward. We’ve considered an extraordinary provision, which is what we’ve seen in these accounts that we’ve discussed. This has been explained generically, so that when the new rules are finally implemented, we will be specifically be going into the concept, the ones that are relevant in accordance with the legislation, as I say. And we will be probably needing new amounts in 2012, additional amounts in 2012 in order to be covered. We don’t know for sure, because we don’t know what the legislation is going to mandate. But we’ll have to think about increases, perhaps in substandard. We’ll have to think about risk. But I repeat, unfortunately, we don’t know what those requisites are going to be. Now, in order to be able to respond in 2012, as mentioned, we have some capital gains which have already been achieved. That’s Colombia. In the case of Colombia, that perhaps could go, and at this point this is what we’re thinking. This is what we’re thinking, because this is what we’re going to have to respond with. As I say, this has not been accounted for yet. It’s not been included yet for legal and accounting reasons, but it will be once the operation is fine-tuned. We have other capital gains in mind. I am not going into the details right now for obvious reasons, because this is confidential information. And what we’ve done on the other, we have sufficient funds to actually take on those further requisites. And should we need more, should those capital gains not be sufficient, well, we would look at the bottom line. The budget for 2012 specifies that there will be improvements in the coverage of NPLs and substandard, so this is, if you will, already included in our kind of standard budget. So, we have Colombia. We have other capital gains as I said before, which are coming along very nicely. And we will be providing information when the time comes. So, as I say, perhaps we would have to look at our P&L as we did in the year 2011 and the year that’s just wrapped up. So, this is what we are contemplating in the face of new legislation which, as I said before, we don’t have specific information about. Antonio Ramirez, Keefe wants to know whether this would hinder us from holding on to that 9% EBA capital or 10% as an objective?
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : And as for the second question, I guess, it depends, depending on how the new regulations take shape, these provisions may perhaps facilitate – well, these new requirements promote more concentration, more mergers and acquisitions. Well, I can’t really answer that, because it depends on so many factors. And the third question I’ve forgotten, our role in such a consolidation process. Well, we have always said, and I’ll say it again today, that we look at all opportunities. We did analyze Dacam. We are now studying the new NIM, and we will continue to do so. When opportunities come up, our responsibility is to analyze those opportunities and make the right choice in each case, and that’s what we’re going to do.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : Yes. I am told by José Antonio Álvarez that there might be some confusion here. There are two scrip dividends that we are now planning for 2012. So, again, we continue with the same payout policy in all aspects. Same shareholder return policy.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : Well, basically, now, because of the rather difficult economic context in Continental Europe and also in the UK and also in the U.S., where what we call the mature markets are probably at their lowest contribution. And the emerging markets, in relative terms, are at their peak contribution. But starting in 2013, I think it may continue during 2012, although there will be some improvement in mature markets, but especially starting in 2013, we expect that the percentage contribution of these mature markets will increase.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : And the breakdown of the positive extraordinary revenue, we can give you more details from Investor Relations. But basically, in the EUR893 million, there’s maybe EUR300 million and EUR400 million which are intangibles, and there’s another EUR200 million which includes wages, pensions, and so on, or severance packages, rather, and so on. And so, another one for that great debt of about EUR75 million. And the other is for the Iberdrola, Generali and so on equity, which is about EUR400 million. But if you want to see the detailed breakdown, we will give it to you. We have more details at Investor Relations.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : As for IPOs, we’re not planning any in the year. What we’ve done in the U.S. has been a brilliant operation at Santander Consumer. And those that we had considered or talked about in the past, such as the UK IPO, current market conditions do not make it advisable in the near future. So, we’ll leave it for later on. And in the U.S., we have no intention. I guess you’re asking whether we were planning an IPO for Santander Consumer U.S.? No, we have no such plans.
Interpreter:
Question: : And as for cost, Fuji Yuki from Daiwa and Ignacio Ulargui from BBVA are asking whether we can give some forecast, some guidance on cost increases. Do we plan to keep investing in areas like Latin America? Do we expect them to keep growing as they have been? Can we give a bit more detail about what we think on our costs and returns medium term?
Unidentified Company Representative:
Answer: : On the contrary, in the mature markets where the environment will – on the one hand, of course, we have a much more consolidated position, more complete business, more optimized business. So, their costs will be flat or falling slightly, for example, Spain and Portugal and some other countries under the Santander Consumer Finance footprint. Overall, the costs will rise slightly in 2012. It’s in our budget, because we will continue to invest in practically 60% of our units which are still growing strongly.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Unidentified Company Representative:
Answer: : And Britta Schmidt Autonomous Research is asking about NPLs for the group and for Spain. Do we maintain the same guidance? What do we think it will do in the future?
Unidentified Company Representative:
Answer: : As for Spain and Portugal, NPLs, in my opinion, in 2012 will continue to rise slightly. How much, it’s hard to say. We will, I think, get up to 6%. We’re at 5.8% right now. We closed 2011 at 5.8%. So, we’ll probably, in 2012, be above 6%, possibly.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : No, in 2011 overall, where balances rose, but in 2012, we do think there will be a fall in the outstanding balance and foreclosed assets. So, sales will be greater, significantly greater than net entries. So, fewer entries and more sales – a lot more sales. And so, that’s going to – and there, of course, the higher provisions are going to help, as we just explained when the question was asked earlier.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Unidentified Company Representative:
Answer: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Unidentified Company Representative:
Answer: :
Unidentified Company Representative:
Answer: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : But that was really where it was going to peak, and thereafter, we would not see further rises in NPLs, which would remain flat or even intending to fall medium term. And that’s actually what’s been happening. Brazil has been following the trend that we had predicted. I don’t remember whether it was at the results presentation in October or at the Investor Day in September. But it was around then that we talked about our forecast for NPL in Brazil, and that’s, in fact, what has happened.
Interpreter:
Question: : Moving on to financial management, there’s quite a lot of questions about LTRO. Question from Antonio Ramirez from Keefe, Rohith Chandra from Barclays, Britta Schmidt from Autonomous, Ignacio Ulargui from BBVA, Fabio Mostacci from Ahorro Corporación, Andrea Filtri from Mediobanca and Frederic Teschner from Natixis and Santiago from Exane. Let’s see if I can summarize the basic idea; that is, how much have we used in December? How much do we expect to grow in February? How will we be using those funds? And then, can we elaborate on the cost of repos, authorizations for buying debt, liquidity injections and the impact on the financial sector and on Spain? So a long list of topics, all connected.
Unidentified Company Representative:
Answer: : As of February, we haven’t decided yet. Our liquidity position, as we showed, is still very comfortable. Deleveraging, as I’ve showed you, EUR24 billion in two years; Banesto, EUR7 billion in two years; Portugal, EUR4 billion. And if you think of the current context, and as the CEO explained in the presentation, for liquidity, we don’t really need to issue in the year to improve our liquidity. So, if anything, it would be just as a buffer more than for liquidity position. As for the use of those funds, I’ve already explained. This whole discussion about whether this comes up again and again, about this is what’s really having a negative impact on sovereign debt. And well, that’s still planned in repo. You don’t need to go to the ECB and it’s actually a lot cheaper than with the ECB right now. If you look at the markets, public debt is now being financed at between 0.35% and 0.55%. The ECB, as you know, costs 1%. So, per se, that’s not necessary. And the impact on the financial sector, I think it has a positive impact in terms of confidence. And additional insurance has the most positive impact on confidence, which is really what the market needs right now. And so, that’s been very positive.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Unidentified Company Representative:
Answer: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : So, if my memory doesn’t fail me, that was it. I don’t know whether there was something in Chile also. So in January, group units in accordance with their plan have looked at a certain number – have looked at a specific number. The year now, well, we’re not really targeting anything in Spain or Portugal which is not to say that we don’t take advantage of opportunities that might surface. If funding costs become more reasonable, well, we might think of just that. In other countries, if we look at the UK last year, I think it was 25. This year, we’re not thinking about anything more than about half that. And consumer – and it depends on the production, securitizations, different countries, each one of them looking at local markets, usually. So, we might be there talking about, say, a total of 6 billion to 7 billion in consumer financing securitization. A little bit from Chile, a little bit from Brazil. That’s what I would say is on the book.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : About EUR50 billion, I don’t know, EUR53 billion, EUR55 billion is public or sovereign debt in the countries where we have a presence. In Spain, it’s basically the same as last year, EUR25 billion to EUR30 billion. This depends on expectations, what will be happening, a little bit less, a little bit more. We follow that. We do what we’ve done in Portugal, EUR1.6 billion, EUR1.7 billion; Brazil, again, EUR12 billion, EUR13 billion; Mexico, about EUR3 billion; and Chile about EUR3 billion. We can’t really talk about major changes in terms of the sizes of these portfolios. I think that when we met on Investors Day, we talked about mark-to-market which was minus EUR2 billion. Because the rates have changed, that’s improved above zero, maybe a little bit above zero. But that would be the only major change that I would want to make a reference to over the past few months.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : Nevertheless, the activity is not going to be as risk, assets, liabilities, especially in assets – no, low in assets, although in terms of funds and so on, well, it’s not that important if you think about – of the rates – the rate structure in place now and for the upcoming year. So, I think that they’ll offset each other. Provisions will continue to be high in 2012, because evolution of credit quality and of NPLs, as we said before, is not going to vary. It’s going to perhaps grow a little bit in 2012. So, again, we’ll be seeing that those provisions will not be less. We know that generics are not as relevant as they were in the past. So, 2012, in our budget for 2012, the results were retail banking in Spain are very, very similar to the results achieved in 2011. So, we see that it’s a little bit of both. Some things are going to be better. Others are not going to be that good. Margin spreads, but less activity and provisions growing. The cost, fine, because retail costs in Spain are going to continue to decrease, to grow negatively, minus 1%, minus 2%. But all of that, at the end of the day, is just going to give us very similar results to the ones that we made in 2011.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: :
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : As to the loss of a hedge, well, yes, that will be felt. This is what we call the margin compression. It’s the depletion, if you will, of the hedge, both current accounts. I think that, that is going to have an adverse effect, a negative effect on the numbers. That is as far as business – traditional business goes, savings and mortgages. That’s for the total business. When we talk about the margin compression plus the regulatory impact, those new stringent demands, this is going to, perhaps, affect us in the bottom part – in the upper part, I’m sorry. Then, when we talk about the franchise, well, it’s slow – evolution is slow. It always is, isn’t it, in this kind of a business. We seem to be quickening in terms of corporate, at a rate which is not huge. But the bank is increasing, and the bank is growing, and the bank is doing its utmost in this SME. This, of course, will be further bolstered when the UK joins us. Well, that’s how we call the Royal Bank of Scotland’s branches. And that will happen probably towards the end of 2012, unless there are delays. We are seeing some minor delays now, so it would be either end of 2012, beginning of 2013. It’s not going to affect the numbers for 2012. It will affect the numbers in 2013. So, 2012 is going to be a year that we can best define as complex. A little bit delicate for the UK in that constant perimeter because, I repeat, I don’t think that those RBS, Royal Bank of Scotland, branches are going to be immediately added on to the account in 2012.
Interpreter:
Question: :
Unidentified Company Representative:
Answer: : Well, thank you very much. I think that all of the questions that were posed have been responded to. And if you feel that, that is not the case, please do get in touch with us, and we will be delighted to take your calls and questions. Thank you.